Operator: Thank you for standing by. This is the conference operator. Welcome to the Volta Third Quarter 2021 Earnings Call. Joining the call today from Volta are Founder and CEO Scott Mercer, Co-Founder and President, Chris Wendel and CFO, Francois Chadwick. Ahead of this call, Volta issued its third quarter press release, which will be referred to today. This can be found on the Investor Relations section of the website at voltacharging.com. Please note that on this call, Volta will be making forward-looking statements based on current expectations and assumptions which are subject to risks and uncertainties. These statements reflect the company's view only as of today should not be relied upon as representative about views as any subsequent date. And Volta undertakes no obligation to revise or publicly release results and any revision to these forward-looking statements in light of new information or future events. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For further discussion of the material risks and other important factors that could affect our financial results. Please refer to the company's filings with the SEC included in its quarterly report on Form 10-Q. In addition, today's call the company will discuss non-GAAP financial measures, which they believe are useful as supplemental measures of Volta’s performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. You will find additional disclosures regarding the non-GAAP financial measures discussed on today's call in both this press release issued this afternoon, and its filings with the SEC, each of which is posted on the Volta Charging website. The webcast of this call will also be available on the Investor Relations section in the company website. Further, all participants are in a listen-only mode, and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions]. With that, I will turn the call over to Scott. Please go ahead.
Scott Mercer: Thank you, everyone for joining us today. I'm thrilled to be here to welcome you to our first earnings call as a publicly traded company. For those of you who are new to our business, I'd like to take a moment to reintroduce Volta, how we work and how we are uniquely positioned to win in this high growth burgeoning industry. I'll then turn it over to Chris for a deeper dive into the quarters activities and Francois will conclude with a financial over. The rise of electric mobility is one of the largest macroeconomic trend of our lifetime. We founded Volta over a decade ago to capitalize on and catalyze this fundamental shift in transportation and its associated infrastructure needs as the world moves to a more sustainable energy and mobility ecosystem. In the next three years, electric cars will become more affordable than internal combustion engines. Some 500 billion of U.S. gas station revenue is up for grabs as more and more drivers go electric. We believe the biggest economic opportunity isn't in conquesting only the fueling dollars, it's in understanding the behavior and unlocking the spend that will accompany the shift around fueling habits. Soon the majority of people will no longer go to the gas station to fuel up, they will fuel up where they already go. Our stations are public, universal and open access. And we leverage a data driven understanding of consumer behavior to deliver EV charging that fits seamlessly into drivers daily routine, a premium commercial locations where they're already spending their time. And we're the only behavior driven network focused on rewarding consumers for sustainably minded practice. For our site partners, our network attracts more customers who stay for longer periods of time. And we're currently working on some new initiatives to further encourage loyalty. For advertisers, we provide a dynamic content platform that allows them to engage potential customers and influence behavior right before they walk into a store, or other commercial property to make a purchase. Volta differentiates by using behavioral science powered by best-in-class data science and machine learning technology, allowing us to understand the larger impact of how the electric revolution will unfold and deliver differentiated streams of value to our partner ecosystem. We are pleased by our overall performance in the third quarter of 2021. And the additional strong progress made on our Strategic Initiatives after the quarter end. Highlights of the quarter include revenue for the quarter was $8.5 million, 77% growth from the same quarter last year. This brings our year-to-date revenue to $20.2 million up 82% from the same nine month period in 2020 and eclipsing our 2020 full year performance. We continue to expand our footprint by installing 168 stalls in the quarter, bringing our total installed stall base as of September 30, 2137 stalls in 23 states. Both the stalls generated over 238,000 estimated charging sessions per month, 24% utilization for 24 hour period with a total 3.5 gigawatt hour network throughput in the quarter, forming one of the most utilized charging networks in the United States. We further strengthen our network development partnerships signing new master service agreements in the quarter with six key partners, including Six Flags. Our charging solutions team generated signed contracts for 143 sites in the quarter, representing our strongest quarter yet and adding to our backlog of construction in queue. Behavior and commerce revenue for the quarter was $7.4 million, up 14% quarter-over-quarter and up 232% year-over-year. Behavior and commerce revenue for nine months ending September 30, 2021 was $17.4 million up 315% from the same nine month period in 2020. We successfully completed the business combination with Tortoise in August and as of September 30, we had $331 million in cash and equivalents on hand. We are nearing an inflection in EV market growth and electric mobility adoption. U.S. passenger EV sales are expected to grow 34% annually through 2030 with public charging demand increasing 16x over the same timeframe. Through 2040, EV passenger sales are expected to grow 19% annually, with public charging demand increasing 44x over the same period. This acceleration towards electric mobility is driven principally by improving industry economics, and increasingly by governmental policy. For example, the cost of batteries has declined over the past several years, which has helped EVs become cost competitive with ICE vehicles. We expect these costs to fall further as the industry scales. And by 2024, we expect battery costs to drop below $100 per kilowatt hour, which we believe is the threshold level which makes electric cars more attractive to the average driver. Policy initiatives by various levels of government have become supportive to the acceleration in electric mobility. Both are welcomed as governmental support, and we expect to benefit from it along with the industry. As parts of the EV charging infrastructure value chain become increasingly commoditized, Volta remains focused on building a business that is differentiated and sustainable in the long-term. Our view is the public charging opportunity is grounded in the shift in driver behavior and it's more than just hardware and energy. And this is reflected in on our multiple revenue streams. As a reminder, Volta generates revenue from three primary sources, behavior and commerce, Volta’s media and advertising business today, network development, including data and charging network operations. Behavior and commerce revenue is initially derived from the sale of advertising to Volta partners and clients that purchase media display time on our content network to conduct media and advertising campaign and generate commerce or influence targeted driver behavior. Network development revenue is generated from services associated with the installation, operation and maintenance services charging stations for select site partners. Data and intelligence revenue is tangential to the other revenue sources as discussed and is further generated from license or service fee revenue from our other proprietary software tools. Volta currently offers access to the PredictEV tool to utility companies, channel partners and other third parties through a SaaS business model. Charging network operation revenue is tied to the utilization of Volta’s charging stations, such as proceeds from charge recharging, and through the sale of LCFS low carbon fuel standard credits. I would now like to turn it over to Chris to discuss the elements of the quarter and year-to-date business in further detail.
Chris Wendel: Thank you, Scott. I would like to begin by reminding everybody listening about the differentiated go-to-market strategy for our business. As Scott mentioned, Volta considers the shift to e-mobility one of the largest macro shifts in our lifetimes. Our client teams have the ability to harness our behavioral science teams and enable our site partners to seize this opportunity to enhance their core commercial goals using our infrastructure. Let's start with our strategy for network development. Our central thesis focuses on building quality infrastructure that delivers the most miles to drivers per dollar of capital invested. This is a key factor that will help us drive industry leading returns. We seek to provide the best network utilization by offering drivers a meaningful charge which will ultimately maximize monetization. Our approach to EV charging focuses on driver experience and behavior. This is why our infrastructure is differentiated and customized to be engaging, exciting and something people actually want to use or pay attention to. It is also why we work to match the infrastructure to the location, aiming to synchronize charging speed, with the average visit time of drivers at such locations. For example, a driver may not want to charge that takes two hours if they're going to a drugstore, where the average visit time is relatively short. On the other hand, a driver might not necessarily want to charge their car in 15 minutes if they're sitting down for dinner at a restaurant. By designing infrastructure to align with site partners dwell time goals for people visiting a particular location, we can build an efficient EV charging network that is more attractive for site partners and consumers. Solving for high utilization also underpins our growth strategy with our partners. Infrastructure that ties to the end consumers baskets, enables us to help our site partners achieve their ultimate goal. For Volta, adding high utilization stalls are a proxy for high commercial value, both from a consumer and energy delivery lens. We continue to see robust use of our network by EV drivers. On average during Q3 Volta had five charging sessions daily on the national network. Across those sessions, we saw 24% utilization of daily use against a typical day. in regions with higher levels of EV penetration, like in California, we saw even higher metrics in the quarter with averages of eight charging sessions daily and eight hours of daily use. Underpinning our network design approach is our proprietary software tool PredictEV, which we can use to plan our network for our site partners. This tool also gives us insight into the shift in behavior that EV charging can create. We believe that we can utilize this information to predict where the best location for infrastructure should be placed. Our charging solutions team also uses this tool in their consultative conversations with our largest partners to help plan installations for impact and illustrate the tangible value, the infrastructure delivers for them. This approach has yielded notable new MSAs with site partners in Q3. Scott already mentioned that we added 143 sites and 405 stalls to our backlog. In addition, we would like to call out that the team closed several new partners like Six Flags Entertainment, Fidelity Land, Eden's and BIGY. Year-to-date, we have signed over 20 New MSAs with partners that have significant real estate footprints. Shifting to the behavior in commerce category Volta initially sells media display time to advertisers, which provides us with a potentially high value revenue stream that we believe will compound over time, with the increased growth and utilization of our network. We think this revenue stream is a critical differentiating factor that will provide a long-term competitive advantage. Now I'll talk about our content network which can provide strategic value as it is generally the last point of influence a brand could have with a consumer prior to their entry into a store. Combining a content platform with a service to community values creates a unique value proposition for our partner brands. As we prove the value of the platform, we stand to bring true digital media efficacy to a real-world audience. And that becomes the ambition, understand consumer behavior and understand how to help shape and influence it. We find that this is resonating with the market as we've signed up national brand advertisers, other media channel partners, programmatic platforms and our site partners as they start to look towards marketing their businesses to consumers, and how to drive product sales in store. In Q3, we welcomed new brand partners Visa, DHL and discover to the platform. We also saw Comcast, Dunkin, FedEx and Hulu come back for additional campaigns. And we finally saw continued growth in our programmatic business. We view this flywheel of providing value to consumers, property partners and advertisers as positioning as well to monetize our network on day one, create a deeper connection with the community and increase the total value of our network. Now, let me talk about how we are strategically positioning our footprint to further potential growth opportunities for the company. We have been building a nationwide EV charging network for the last decade that distinguishes itself through a portfolio of valuable real estate contracts, enabling Volta to build its network to align with Volta’s the desired commercial outcomes of its property partners and the charging needs of drivers. This strategy leads to industry leading utilization and unit economics. As of September 30, we have installed over 3900 screens and over 2100 stalls across approximately 650 sites. In addition, our contracted opportunities would add over 2600 screens, and over 1300 stalls across more than 500 sites, which are currently in our construction queue but not yet completed. Volta’s expanding contract portfolio creates even more network growth opportunities over time. With that, let me turn it over to Francois to run through the financial.
Francois Chadwick: Thank you, Chris. I will begin with some commentary on our third quarter results and finished with our 2021 outlook. Third quarter revenues were $8.5 million, compared to $4.8 million in the prior year period, largely attributable to strong growth within behavior and commerce. Behavior and commerce revenue grew to $7.4 million from 2.2 million in the prior year period, primarily due to increased sales of media campaigns, with several national brands. Cost of services was $5.4 million, compared to $4.6 million in the prior period, primarily due to increased station rent, driven by a larger aggregate number of active leases, additional advertising and media costs, and a rising network costs due to an increased charge for station data plans. SG&A expenses were $29 million, compared to $9 million in the prior year period. This was primarily due to planned growth initiatives that resulted in increased costs, including bonuses and commissions of $2.2 million, an additional insurance costs of $1.2 million, with one-time expenses related to non-cash stock based compensation of $4.2 million and professional services primarily related to legal and finance fees of $3.2 million incurred related to the de-SPAC process. Net loss was $43.1 million, compared to a loss of $14.5 million in the prior period and the EBITDA loss was 38.3 million, compared to a loss of $9.5 million in the prior year period. In April of 2020, Volta received loan proceeds of $3.2 million under the PPP of the CARES Act. Although the company received full forgiveness for the PPP loan, as the entire amount was used for eligible expenses under the program. The company repaid the entire balance of the $3.2 million loan on October 12, 2021. In the quarter, Volta completed its business combination with Tortoise acquisition Corp II, resulting in proceeds of $350 million. The company had a cash and marketable securities balance of $331 million as of September 30, 2021. Shares outstanding as of September 30, 2021, were 161.9 million. Before moving to the outlook, I wanted to touch on the significant progress made to build out key functions in the organization as we rapidly scale the business. To that end, we have approximately doubled headcount since March, making key hires across supply chain management, finance, sales and operations to ensure we have the right resources in place to execute on our strategic initiatives. Now, wrapping up with our full year 2021 outlook, we are expecting revenue in the range of $32 million to $36 million, total signings to be in the range of 600 sites to 700 sites; total stalls to be operational in the range of 2300 to 2500 with over 1300 stalls in our construction queue. I would like to wrap up with three simple reasons that we are so excited about where Volta is today and what its future holds. The transition to electric mobility is one of the largest macroeconomic shifts in our lifetime and Volta is very well positioned to capitalize on this mega trend. A differentiated business model enables us to monetize our infrastructure from day one and compound our returns as our network scales with EV growth. Finally, our industry leading utilization and using unit economics allow us to attract valuable partners that will help scale and expand our overall network, which ultimately compounds our returns over the longer term. Thank you for your time today. I will now hand it back to Scott.
Scott Mercer: Thank you, Francois. I would like to conclude by thanking all of our employees for their contributions to both the success, our shareholders for their support, and our customers to their commitment. We look forward to providing future updates on our progress as we drive forward. Thanks very much for your time today. And I would now like to open the lineup for Q&A.
Operator: Thank you. [Operator Instructions] The first question is from line of Pavel Molchanov with Raymond James.
Pavel Molchanov: You have announced a lot of retail and non-retail partners in recent months, are there any of your new sites, partner relationships that you would particularly highlight as growth drivers heading into '22?
Scott Mercer: Thanks, Pavel. This is Scott. I will hand that question to Chris.
Chris Wendel: Hi, Pavel. Thank you for the question. So we highlighted six MSAs, I believe in the quarter. And you will note that several of those fall into the categories that we have been reasonably successful with so far in the sort of grocery and shorter dwell time locations. And we're particularly interested in extending that into geographies that so far we have not been in yet. So for example, the BIGY signing or some of those would be quite helpful, as will be Six Flags. We are as you know, contracted with quite a few grocery partners in particular, and we're actively and aggressively working through that backlog. And I think that is our number one piece of homework here from an execution perspective.
Pavel Molchanov: Okay. As we hear from Washington about federal funding in the infrastructure bill for EV charging, Volta has already been receiving state level sponsorship for some of your network expansion. Can you give an update on that, for example, what's happening in Maryland?
Chris Wendel: Hey, Pavel, Chris, again. So a couple of points. First on, we are, I think like everybody in the industry quite excited to see the infrastructure bill passed, and the Department of Transportation with Secretary Buttigieg then working with the state to implement this, and we are actively in dialogue to be involved in those conversations. To your specific question, we have, with a couple of our site partners in the state of Maryland, been able to get some grants rebates on some of the installations. But it's important to go back to our fundamental premise where we believe in building the infrastructure, the way our customers can use it the best and how it underlines their business the best. And if in that vein, rebates and other help is available, we will absolutely go get it. But it's not the reason that we build in that location if that makes sense.
Pavel Molchanov: Okay, last question. As part of the de-SPAC process, there was some early stage planning for establishing a foothold in Canada and Europe. What's the latest on that front?
Chris Wendel: Yes, sorry, you're getting the prospect of Chris, I'll take that one, too. So that plan is absolutely still in place. We have made some very interesting hires in Canada in this quarter. And they tied to our behavioral science business that we're building and we'll talk more about I'm sure. And in Europe, same thing, we've been scaling the team, we've been actively going to market. And we'll have more to say about that as we go.
Scott Mercer: And one thing, that I would chime in on, this is Scott, Volta is still a pretty differentiated business model in the space. And we see interest in the story that we're telling from quite a few international partners. It's really -- and trying to think about how to make those partnerships work at the right speed and scale right now.
Operator: The next question is from line of Craig Irwin with ROTH Capital Partners.
Craig Irwin: Good evening, gentlemen. And thank you for taking my question. When we look at your revenue guidance for the year, it implies, some fairly heavy growth in the fourth quarter, not too different to the fourth quarter of 2020, I think we had around 75% sequential growth. Can you maybe help us bridge the activity there? Should we look for, some continued very strong performance in behavior and commerce? Is your maybe, a heavier install program for network development in the fourth quarter? How should we look at the sequential development?
Scott Mercer: So, I think we're excited about the forward growth trajectory for the business right now. Q4, last year, I think all the metrics in 2020, were a little bit odd because of COVID. So they become difficult to help predict the forward path in the business but we are expecting the forward path for the business to go quite well from here.
Chris Wendel: Yes. And just to add a little bit more color as it relates to that fourth quarter, I think to sort of answer your question. Yes, we were looking to and we strongly believe and expect that continued strong growth in the behavior and commerce, media the advertising. And as we look at the network development, there's obviously, only a few months left in it, we do still believe we've got a very, very strong pipeline. Timing on the permits could be a slight issue for us, but we don't expect that to be a big detrimental hit to the quarter as we round out the year end.
Craig Irwin: Understood, understood. So a common question from investors is supply chain for everybody, not just the charging main stream and your unique relationship with peerless industries. And your I would say even more unique approach with the beautiful media displays that also supply charging right, that are highly functional, beautiful and quite different than everything else out there. Can you talk about, the inventory of media displays that you have or charging displays that you have on hand, is the components supply chain an issue for you? Are you using a little bit more air freight to get pieces to peerless for final assembly, any color here could be helpful. Thank you.
Scott Mercer: Yes. So I think that from a supply chain perspective our focus on these stations themselves has really been on the design side and the design aspect of the hardware. So we have multiple options when it comes to the actual charging equipment itself behind that the actual unit and the front facing unit. We haven't seen direct impact from a supply chain perspective thus far. And we have seen it with some of the automotive partners that are advertising clients for us. And we've seen a little bit in permitting disruptions with the city's just in getting stations in the ground up and lit. But from a hardware perspective, it hasn't hit the business.
Chris Wendel: Yes. Hey, Craig, it says Chris Wendell. And by the way, thank you for the compliment. Our stations were quite proud of them as well. Peerless has been a long-term partner of us and we have a very close relationship with them and are able to plan inventory to a certain degree. So we don't expect at this point that especially the beginning of next year is installed will be or at least hardware availability will be an issue. And I'll give it to Francois
Francois Chadwick: And Craig, one other thing I think to add to that is, as you heard in the prepared remarks, we have been building out our teams and one of the teams we've put a lot of focus on a lot of energy and effort and bringing in a world class supply chain management team is looking at everything that we need and predicting what our needs are going to be all the way through the current year and well, well into 2022 and even beyond that. So we feel very comfortable that we understand what the headwinds are in this space. We're planning into them. You did mention changes in options of freight is the things we're looking at right now. But as Scott mentioned, and as Chris mentioned, we are still well on target and we have the inventory in place to continue putting in the beautiful screens.
Scott Mercer: Craig, one last addendum that is, Peerless as you know, assembles and manufacturers in the U.S. so we don't have a lot of border entry issues with the completed stations components, possibly. But generically Peerless has better visibility for us and if we were buying things that were stuck in [indiscernible].
Craig Irwin: Thank you. The next thing that I want to discuss is gross margins. Clearly, you're outperforming on margins, versus what we were expecting and I think the guidance that you gave at the time of the SPAC merger announcement. Can you maybe just talk about what's going right here? It's nice to see this kind of execution and is this something that can possibly continue over the next few quarters?
Francois Chadwick: Yes. This is Francois, again, and thank you for the question, I'd say a couple of things. One, we're obviously maintaining where we believe we would be on the revenue and some of the mix of the revenue, maybe drive into a higher gross margin percentage that you may have calculated in some of your prior models. And as well as that, we have been able to maintain the cost side of things. And so we once again, cost of repeating myself with our supply chain management team, working with our contract manufacturers, that we've been able to manage all of that, that drives to that gross margin that you're looking at. So hopefully, that helps.
Craig Irwin: I know that definitely does help. So another element of conversations has been the option to execute sale leasebacks on equipment to bring down the capital cost for growth, as you execute your business plan over the next couple years. Can you maybe update us on that or other capital options? I'm sure the people that redeemed are really regretting it given the support we're seeing from the Biden administration, but what can you share with us as far as developments there over the last couple months?
Scott Mercer: Yes. So I think that as we look at the model that we put together, and as we've kind of, I think talk to most folks on the line about, we never actually modeled in a project finance line, or a debt line for the CapEx of the stations into the SPAC model, that was always something planned. So we're balancing at the forward financial path for the business. Really getting that in place is something that we're focused on. And it's something that we've had historically throughout the business, because of the revenue profile and the financial ability of the model and the hardware.
Craig Irwin: Okay, excellent. And would your current partners have the capacity to accommodate your growth, I mean, you're going to put in many 1000s of units over the next several years. Is that something that you can do with your existing partners or we do expect a wider group of financial suppliers?
Francois Chadwick: Once again, Francois, here. I'll take that question. That is something we actively talk about. And we are in constant dialogue with our contract manufacturers on this issue. And we are working alongside them to plan into that growth. So we feel quite comfortable.
Scott Mercer: In my perspective, I think it's really a question of the rate that we can get now that we are in the public market, and a little bit more capitalized from an equity perspective, that does change the dynamics and the capital availability that we have to us. So those are questions we're assessing, see if we can.
Craig Irwin: Thank you. Last question, if I may, is there any progress on the effort to establish attribution or [indiscernible] between your media displays and the customer purchase or the retail purchase dynamics at host sites?
Scott Mercer: Yes. Now, this is something we're very excited about, we have been really focused on building out this behavior science expertise set. So it's a combination of having some data experts, some behavioral experts in the organization, and really a set of ML and AI driven tools to assess the impact of the network on the entire business ecosystem that we're partnering with. So making sure that what we're doing is beneficial to the site partners, that if we're selling into the content on the screens that we can measure the value of that. And that really is, as we predict the future growth of the infrastructure. Our focus is all about driver habits and how they're changing over time. So this behavioral science interest of ours is really turning into something fairly core to our business strategy and maturing quite nicely.
Craig Irwin: That's good to hear. Congratulations on a strong execution. I will hop back in the queue. Thanks.
Operator: The next question is from line of Gabe Daoud with Cowen.
Gabe Daoud: Hey, guys, afternoon congrats on the first quarter out of the gate here. Was hoping maybe you could just give us a little bit of color around the relationship between the different revenue lines and stall growth. So as stalls continue to accelerate or continue to grow? How does behavior and commerce and network development and charging network operations kind of trend and locks up with that?
Chris Wendel: Hey, Gabe, it’s Chris, thanks for the question. So as we discussed in the and we laid out the business model that -- with premise on the fact that we build a stack of revenue, and that they build over time. So on day zero, we have the opportunity to monetize to the behavior and commerce piece. And as you know, the stations have the ability to run a certain amount of the even commerce revenue. And as the network grows, that grows itself, so there is a loose correlation, I would say, but it's not a direct correlation. And the network as a network, and as a digital network grows in value, probably at a different cadence than just the pure [indiscernible]. And then over time, you build all the other revenue streams that come from installs and stuff. Scott, do you want to add something?
Scott Mercer: The way we talk about it internally is what we're building is a network of networks. And so as we go as we work with certain partners to build into their footprints, that might turn on a new revenue channel, as we're getting sort of scale in certain markets or across the footprint that can add revenue streams. So it's kind of balancing out demand and the actual footprint to service that demand across the multiple revenue streams that we have.
Gabe Daoud: Thanks, guys. That's helpful. And then maybe, as a follow up, the commercial fleet segment is pretty larger has at least less potential from a from a charging standpoint. Is there anything you guys could talk to about potential partnerships there that you could be working on are just a way to capture some of that market from the commercial fleet side, whether it's ride sharing companies or last mile delivery, et cetera.
Scott Mercer: I think from a fleet perspective, there's a couple aspects, it's still a little early in our business from a fleet focus is not the core focus right now for us. But we were looking at fleet, especially with our data science tools with PredictEV, it's something that really understanding driver habits and charging demand can be quite useful from fleet perspective. And of course, as you think about public charging infrastructure, fleet is endemically part of your audience. So ensuring that the business accommodates for fleet in public is quite important for us. And then, as we start to really build out chargers build that demand focused on the gigawatt hour throughput side of the business, we would look towards fleet as part of that equation, but still not quite the core of what we're after right now.
Operator: [Operator Instructions] And the next question is from line of Matt Somerville with D.A. Davidson.
Matt Somerville: Thanks. A couple of questions. First, with respect to your year-end install base goal at the midpoint 2400. How should we think about that in the context of what's driving the gap between that number and your SPAC-related projection that I think was somewhere in the neighborhood of 3100?
Chris Wendel: Hey, Matt, it's Chris. Thanks for the question. So the delta is really reasonably simple. We have, as Francois mentioned, 1300 stations in the construction queue. And it's mostly down to permit time.
Scott Mercer: It's been a COVID driven thing for us that the permitting processes are moving in different jurisdictions.
Chris Wendel: Moving at different speeds and just a little bit of color. Also, we are installing in areas that are not yet as experienced with this infrastructure. And sometimes your teaching permit authorities what to do, you might be the first time anybody's asked for a permit for charter literally happens. So the expectation on how long that takes has been slightly longer than we thought when we made that prediction now nearly 12 months ago.
Matt Somerville: So to maybe put a little bit of a ball around that as we exited 2020, what would that 1300 number have looked like? What would that number then?
Chris Wendel: You mean, on the forward construction queue?
Matt Somerville: Yes, exactly.
Chris Wendel: That's really hard to predict. I don't know because I don't know what my Q4 signings will be.
Matt Somerville: No, no, I'm sorry, the year end 2020 number. How does the current 1300 compared to where you exited 2020?
Scott Mercer: We don't have easily to hand last year's sort of forward book.
Chris Wendel: It was significantly smaller. But we don't track that back then. Yes.
Scott Mercer: I mean, I think for us, just seeing as a little bit of disruption in the permitting offices themselves, that have been really related to COVID shutdown so permits that were -- how quick and easy to get processes that were quick and easy to do have extended out. We don't expect that to be a long-term problem for us.
Matt Somerville: Got it. And then, I'd be curious on your 2600 screen backlog, how many of those screens would be represented by brand new customers versus your existing customer base on the existing side, either building out current sites where they already have voltage chargers, then versus new sites as part of their broader footprint umbrella?
Francois Chadwick: Yes, that's a good question. We don't break out that number by customer. But the number of sites that are in the queue are almost entirely new sites.
Matt Somerville: Got it. And then just one final one for me. The level of redemptions you experienced towards the tail end of this go public process? Does that have any influence on how we should think about your go forward capital plan or sites?
Scott Mercer: Thank you for the question. As it relates to our go forward plan, no immediate impact, we continue to roll out our capital allocation strategy. We're looking at it. We've mentioned a few other things such as Europe and other potential countries. So we're still on target for everything that we've said so far. And right now nothing else to add to that, I would say we're just on target.
Operator: Your next question is from the line of Craig Shere with Tuohy Brothers.
Craig Shere: Good afternoon and congrats on the first call. Want to dig a little more into Craig's fourth quarter question and Matt's question about showing up versus the February deck. As to the fourth quarter, since you're so retail and add focus, does that naturally lead to systemic seasonality every year going forward? And as to the permitting issue, do you see that subsiding in the next quarter or two, or could we have some durability to that that you weren't aware of before partly because you're going into new territories, you say? And to the degree you can get around that and permitting is no longer an issue? Is there the ability to play catch up and have a more robust period at some point in the next several quarters?
Chris Wendel: Hey, Greg, it's Chris. I'll start with the last question and actually leads to one of the things that we are proudest about in the quarter is the team that we've been assembling. Since the de-SPAC process and being able to focus fully on the business suite, we have significantly added two important leveraging headcount to accelerate these processes on a go forward. So on your question, we would expect that that would improve both from the permanent authorities but also from the resources that we can put to it. So we don't think that that is a long-term challenge. Secondly, I believe with the focus on the industry, there is going to be regulatory focus on making permitting of this infrastructure, likely more simple. On a go forward, California has already passed laws here where we were very active in helping getting AB 1236 passed, et cetera. So we expect that to build some more. And so these are short-term growing pains, I think that will not sort of materially change the forward path. That’s all I would say.
Scott Mercer: And then, as a seasonality, something that we've looked at historically, and tried to figure out if we could parse out a seasonality to the business thus far, we haven't really had the history of seasonality to be clear in the history of the business. So I think I would say that's something we're still learning about. And it's -- I would also say that it's shifting as our revenue categories sort of grow and add. So as we're launching new revenue categories into the business, we'll see a category driven seasonality. But we were seeing demand from so many different categories that's in the behavior and commerce or in the network side, that really, kind of we haven't been able to actually parse out the seasonality effect on the different lines of business.
Craig Shere: Sure enough. And just the basic modeling question and what to better understand the normally negative charging network revenue, just as 100% of the kilowatt hours that are paid forward by your ad and site partners, wind up and behavior and commerce.
Scott Mercer: So I'm assuming you're looking at the negative one figure and the charging solution. That is just the timing difference for rebates that we gave as we were actually turning on these stations in the for charging.
Craig Shere: Okay. So in the future, there'll be a little more correlation positively with the installs there on that line item.
Scott Mercer: Yes. There will be a correlation. But there'll be a one or two quarter lag in that but yes, positive correlation.
Craig Shere: Great. And I think there's a question or two about the impact of the infrastructure bill. In prepared remarks, LCFS was alluded to, given your much, disproportionately utilized system. Correct me if I'm wrong and to elaborate a little more and talk about things out there that may be very beneficial, that aren't in hand yet. In terms of more volume focus kilowatt hour incentive programs were you would obviously be a disproportionate beneficiary.
Scott Mercer: So, philosophically, for the business, I think the idea of Volta from the outset, was to deliver kind of the best return and the most miles per dollar of capital invest. So we really think about how do we build -- how do we really build a business that can harvest and most from our capital investment and then for kind of the business ecosystem. So it does lend itself well to programs that are focused on energy delivery. But it also made us less focused on the government side as core to sort of how we plan and build the footprint since we're fairly commercial. So we're excited about the infrastructure bill, we think it opens up new opportunities for us, it opens up new revenue stack opportunities going forward. And we think that some of the commercial angles that we have as a business, some of that rigor can be pretty valuable in that conversation, especially with the PredictEV tool and some of our data science. So being able to talk to other people about here's how you understand driver habits to save CapEx cost per dollar of per kilowatt hour of energy that you're delivering. And here's how you reap the most gain for the ecosystem. So it's a little less directly core, it's something we're very excited about, and something that could be a very interesting accelerant for the entire industry.
Craig Shere: Great. And my last question, Craig had alluded to project finance opportunities that you talked about. And also there's a question on your international efforts. I don't think the international was even a part of the original February merger deck that was put out, to the degree that you have other, growth verticals that could be meaningful over time. Do you think that these additional financing opportunities put you in a position where covering the upfront investment for additional growth is not an issue for you?
Chris Wendel: Yes, Craig, I think the very short answer to that is actually yes. Well, we're looking at all of these growth initiatives, I go back to my capital allocation strategy that we talked about, internally, day in and day out. But there are a lot of interested parties who are looking at -- coming to the table with us, as we looked to make those expansions, whether its geographic or other revenue streams, there's just many opportunities for us.
Scott Mercer: I mean, given kind of where the market sits, I think the focus is less on capital availability for the infrastructure and more on its efficient deployment. And how can we really be a good partner for the ecosystem that's interested in the space to deploy the capital that really needs to go into it in the best way.
Francois Chadwick: Craig, one last thing to add last question on the original. There was nothing in the model that we had in the deck that had upside from your, but we had expenses in the P&L.
Craig Shere: Really, I didn’t know that. Okay. Thank you.
Operator: The next question is a follow up from the line of Pavel Molchanov.
Pavel Molchanov: Yes, just wanted to ask about your pricing approach to the sale of kilowatt hours. As was alluded to a minute ago, your generation or your power sales have been essentially zero, historically, what is the -- let's say the trigger for you to begin charging your customers no pun intended for the electricity sales.
Scott Mercer: Yes. No, we call it charge for charging and it gets kind of confusing, but for us as we're moving forward, and the idea for us is really about the total value that can be created out of a driver's visit to a property. And so we focus initially a lot on the actual driver basket. How do you create utilization? How do you get drivers excited and incented? And how do you match charging speed to the visitation at the actual location. As we're seeing vehicle sizes increase and as we're seeing demand from drivers for charging increase, we are focusing a little bit more on higher power charging in the market to continue to match that energy throughput on the stations to the visitation time as we get bigger battery packed vehicles. And to commensurate with that, rolling out of a little bit more monetization on the energy side. So we will start to see that as part of the dialog in ’22. It’s still early in how we are doing it in the story, but we will see that really start to mature as we focus a little more on higher energy throughput in our ’22 deployments.
Operator: There are no other questions in the queue at this time. Please proceed with any closing remarks.
Scott Mercer: Well, thank you all. We are quite excited to had our first call with everybody and we really appreciate everybody for dialing in and asking some good questions. Thank you very much.
Operator: That does conclude the conference call for today. We thank you for your participation and you can now disconnect your lines.